Operator: Good morning, and welcome to the Malibu Boats Conference Call to discuss Third Quarter Fiscal Year 2021 Results. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that the reproduction of this call in whole or in part is not permitted without written authorization of Malibu Boats. And as a reminder, this call is being recorded. On the call today from management are Mr. Jack Springer, Chief Executive Officer; Mr. Wayne Wilson, Chief Financial Officer; and Mr. Ritchie Anderson, Chief Operating Officer. I will turn the call over to Mr. Wilson to get started. Please go ahead, sir.
Wayne Wilson: Thank you, and good morning, everyone. On the call, Jack will provide commentary on the business, and I will discuss our third quarter financials. We will then open the call for questions. A press release covering the company's fiscal third quarter 2021 results was issued today, and a copy of that press release can be found in the Investor Relations section of the company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking and that actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today, and the company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review our SEC filings for a more detailed description of these risk factors. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as adjusted EBITDA, adjusted EBITDA margin, adjusted fully distributed net income and adjusted fully distributed net income per share. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. I will now turn the call over to Jack Springer.
Jack Springer: Thank you Wayne and thank you for joining the call. We delivered another setting quarter marking the best quarter in the company’s history from a unit shipped revenue, gross profit and earnings perspective. Simply put, an exceptional quarter as the retail environment remains on fire and we continue to perform very well. Importantly, Maverick was icing on the cake adding growth on top of an already outstanding quarter. Our results once again highlight the agility of our team and strength of our flexible business model, which allowed us to post break neck production levels for Malibu and Pursuit that significantly exceeded historical levels. Further we wasted no time igniting our newest addition Maverick Boat Company as they scored their fourth best production month in their history in the month of March. All of this was achieved despite the unique set of supply chain constraints and logistics issues resulting from COVID repurcussions, the Texas winter storm and the Kansas record setting freeze. For the fiscal third quarter net sales increased nearly 50% to $273 million. Gross margin increased to 26.4%. Adjusted EBITDA increased 57% to $57 million and adjusted EBITDA margin increased 90 basis points to 20.9%. We fully anticipate reaching our fiscal year 2021 guidance we raised last quarter and we are increasing our guidance again this quarter. As the boating industry continues to experience blistering consumer demand, we are committed to delivering as many boats as possible to our sustainable and loyal customer base. In addition, the magnitude of new customers we are seeing entering the marine space is ice cream on the apple pie. The foundation of our business industry leading innovation, a well-developed vertical integration infrastructure and operational excellence will power our steadfast path toward continued industry domination. Customers continue to place custom orders flocking toward larger, more expensive boat and invariably selecting additional features and options with command higher a ASPs and fuel the margin profile for both. Demand has continued this unprecedented trajectory with approximately 90% of all boats being built in our fiscal fourth quarter being retail sold. This is unprecedented. By relying on our proven operational excellence initiatives, we remain confident that we will be able to maintain this record momentum throughout the remainder of our fiscal year 2021 and into 2022 However, while we continue to post production what weights well ahead of historic levels during the third quarter, the supply chain remains fragile as a result of COVID related challenges, which today we have been able to expertly navigate. The quarter brought additional unique supply chain challenges with the Texas winter storms and Kansas freeze and tempered our growth somewhat at Cobalt. During the period of February record low temperatures in Kansas, we pause Cobalt operations in the other shade for three days to conserve power for the town. As the largest user of power in the town, we felt it was necessary to support our surrounding communities during this trying time, and make sure citizens have the power to heat their homes. Petroleum related plants in Texas were also significantly hampered by the Texas storms affecting the availability of key materials, primarily resin that is needed to build boats. The storms direct impact resulted in Malibu and Cobalt production being curtailed at various points during the quarter. I am extremely proud of our teams at each of our brands to quickly navigate the resulting supply constraints and still deliver a record setting quarter. During the quarter, we did not let off the accelerator as we sped toward our production, development and expansion targets. More specifically during the quarter we completed the final phase of Cobalt’s expansion and improvement project, allowing further increases in production -- we will begin to see in fiscal 2022. This expansion and improvement of the gel coat lamination areas along with our footprint expansions for small boats and cruisers. already completed in phases one and two will enable up to a 50% revenue capacity increase over time. At the end of the third quarter, we broke ground to begin our 110,000 square foot addition at Maverick. This project is expected to take about 12 months and positions Maverick to increase production by 30% to 40% in units and even more in revenue as we will be able to build a greater number larger boats with higher margin profiles. This expansion will enable us to seize additional untapped demand. This formula may sound familiar, as it is almost exactly what we did at Pursuit and this year, we are seeing that huge payback as Pursuit has outperformed even our expectations for every financial metric. As summer approaches, we're selling more boats and roasted peanuts at a baseball game. The lack of boat shows has had exactly zero impact on orders. Given the virtual environment, we had a state of the art virtual Boat Show format for Malibu and Axis which generated a huge increase in leads. We hosted VIPs for perceiving Cobalt showcasing our new models and engaging with prospects and purchasers alike in a very healthy, controlled environment. Lastly, we placed an increased emphasis on our digital marketing for all brands ultimately driving substantial lead generation and reducing the sales cycle. As a result, all brands are sold out for the rest of model year 2021. Once model year 2022 is open for orders, we fully expect the first half of the year to be booked, confirming the insatiable thirst for innovative and industry leading boats. Maverick is proving to be another homerun and a perfect fit with our Malibu family of brands. The integration has gone very smoothly and we are already seeing positive results from our demonstrated integration methodology while identifying many opportunities for growth to come. As we mentioned before, orders in house for Maverick provide a 12 month to 18 month runway without taking another order. While we have a strong opportunity to expand distribution for Maverick products, we will not act on this opportunity until we can supply existing dealers with all of the boats that they need. Whether it be Maverick, Pursuit or our other brands, we are committed to servicing our current dealers first. This will likely put any dealer expansion plans on hold until fiscal 2023. General inventories remain at their lowest historical levels ever. And when 90% of both produced in the fourth quarter are any retail sold, it means there will be very little provision for stock inventory of dealers. We see most orders continuing to be retail sold well in the fiscal 2022. And I believe any meaningful increase in channel inventory will not be until fiscal 2023 at some point. We also believe that inventory in the channel will not reach historically acceptable levels until fiscal 2024. In our view, we have an unprecedented 24 months to 36 months ramp period to get back to normal levels based on the current retail environment. Had it not been for the unique supply chain disruptions in the third quarter sales and growth production rates would have been even stronger. We have seen a continuation of supply chain constraints in April specifically with resin and some outboard engines, which are either imported on the west coast or waiting to be accepted into the West Coast ports. We expect to continue to manage through supply chain issues through the fourth quarter. And I have the utmost confidence in our team's ability to navigate any additional headwinds, as demonstrated by our revised outlook for the fiscal year that we increase today. Looking ahead, our team's unwavering commitment to our growth strategy will enable us to continue progressing on our strategic initiatives, and advancement of innovation within the marine industry. We view this as a great opportunity for our brands to sustain growth, allowing dealers to have only the newest and the best model. Aged inventory and promotions are almost non-existent, allowing dealers to command high margins and making them stronger as well. We continue to see gross margin benefit from our operational excellence efficiencies and our unparalleled vertical integration strategy which allows us to take control of a greater portion of our supply chain, further differentiating Malibu from our competition. And as always, our proven acquisition strategy of acquiring premium companies with improvement opportunities remains the focus. As we wrap up fiscal year 2021, I could not be prouder of our teams at each brand. They have been the reason that we were able to report such record setting results quarter after quarter. Our team's commitment to leading the boating industry is a recipe for consistent victory and our largest catalysts for future growth. The people on our team and our dealers make this happen. We are achieving long term sustainable success and I am confident we will continue to be the clear winner in the boating space to deliver value to our shareholders. I will now turn the call over to Wayne to take you through our financial performance in more detail.
Wayne Wilson: Thanks Jack. In the third quarter, net sales increased 49.8% to $273.2 million, and unit volume increased 36.6% to 2,454 boats compared to the prior year period. This increase was driven by broad based strength in our market as evidenced by larger more expensive models across all businesses, additional volume at Malibu and Pursuit and our acquisition of Maverick. The Malibu and Axis brands represented approximately 57% of unit sales or 1385 boats. Cobalt represented 21% or 504 boats, and saltwater fishing made up the remaining 565 boats. Consolidated net sales per unit increased 9.7% to approximately $111,300 compared to the prior year period, primarily driven by a favorable mix across all of our brands. Gross Profit increased 57.1% to $72 million and gross margin was 26.4%, an increase of 130 basis points from the prior year period. Selling and marketing expenses increased 2.1% or $0.1 million to $4.7 million in the third quarter of 2021 compared to the 2022 period, as a percentage of sales, selling and marketing expense decreased 80 basis points. General & administrative expenses increased 90.8% or $8.8 million to $18.4 million as compared to the prior period. The increase was primarily driven by acquisition and integration related costs to the acquisition of Maverick. As a percentage of sales G&A expense excluding amortization increased 140 basis points to 6.7%. Net income for the third quarter increased 47.2% to $35.1 million. Adjusted EBITDA for the third quarter increased 56.7% to $57 million and adjusted EBITDA margin increased 90 basis points to 20.9%. Non-GAAP adjusted fully distributed net income per share increased 61.1% to $1.82 per share. This is calculated using a normalized C Corp tax rate of 23.6% and a fully distributed weighted average share count of approximately 21.7 million shares. For reconciliation of adjusted EBITDA and adjust the fully distributed net income per share to GAAP metrics, please see the table in our earnings release. Our team continues to execute at an extraordinarily high level, as we deliver robust growth and margin expansion in spite of the challenges thrown our way. We look forward to the remainder of our fiscal year 2021 with continued confidence as we leverage unparalleled retail demand for all of our brands, drive further innovation, deliver on our proven acquisition strategy and capitalize on our operational excellence. We now expect full year revenue growth approaching 38% year-over-year, and adjusted EBITDA margins of approximately 20.5%. As mentioned last quarter, this takes into account the impact of our acquisition of Maverick boat group for the second half of the fiscal year. In closing, our team continues to excel in today's dynamic environment, we are encouraged by the sustained heightened retail demand that our brands have been able to capture and are confident in our team's ability to harness and capitalize on this record momentum into fiscal 2022 and beyond. With that, I'd like to open the call up for questions.
Operator: [Operator Instructions] And your first question is from Brett Andress with KeyBanc.
Brett Andress: Hey, good morning, guys. So, so rolling all these variables together, like Texas, Kansas, etcetera. Is there any way to frame up maybe what unconstrained production or unconstrained margins look like for you in this environment, I guess just any sense of what you think is being left on the table here in the near term?
Jack Springer: I think in the third quarter is the primary brands that were affected were Cobalt, Malibu. Cobalt was in the neighborhood of 75 units to 80 units or so because the three days and various things like that. Malibu was not particularly any days lost, but just based upon how the supply chain was working certain days, we might not have been done the same number of boats, that’s in the neighborhood of 70 boats or so. So Brad, I think that that kind of speaks to the quarter. We’re making tweaks, I think that as we get into model year 2022, we're going to be able to take production up even more than where we have it today. And the other thing that I would point to, is that, the supply chain is going to continue to improve, in my opinion. Excuse me, the further that we get away from the Texas freeze, the better off we are, there's going to be more and more of the plants coming on line. And it's not going to be the issue. And then I think that largely from a COVID aspect, we're a year into this. And people have recognized the constraints that are there and the number of people that they need in the environment that we're in from a hot retail standpoint. So I think we'll continue to be able to build into 2022.
Brett Andress: Got it. And then just a few round retail, one, what are you seeing so far, in April, here in terms of retail trends. And then two, as we get into May and June with inventories solo in the field. How are you thinking about either, your ability or the industry's ability to satisfy demand? I mean, are you still seeing customers, put down deposits and wait for their boat, even until after summer?
Jack Springer: Yes. So this is the first question, Brad is not mitigated whatsoever. Talking to our dealers, it is just as hot as it has been. And I think that when you speak in terms of 90% of our units for the fourth quarter are retail sold, that bears that out? We are still saying I mean to I guess a couple of dealers have told me and I think this is pervasive across the industry, is that there are waiting lists there, the shortage of use boats is just as significant as it is for new boats. And so people are literally getting into a mantra or mindset of I'm going to get my name on a list and I'll take the boat whenever it's available.
Wayne Wilson: Yes, I mean, just to add to Jack's points there mean, with respect to April, we've literally just saw the largest flooring pay off, ever for the month of April. So I think that's an early indication for us of the strength of retail into April, while you don't have necessarily registration statistics, either through from SSI or even internal what they were there, they might lag a little bit, but that's a relatively real time metric. So just incredible velocity.
Brett Andress: Got it. And then just a quick one, how much is retail sold for fiscal 2022 at this point?
Wayne Wilson: We've got to put the orders in yet but I suspect that for the first half of the year, but I suspect that for the first half of the year, you can't really speak to the second half yet. But for the first half, I think it's going to be probably well above 80%.
Brett Andress: Alright, awesome. Thanks, guys.
Wayne Wilson: Thanks.
Operator: Your next question is from Mike Swartz with Truist Securities.
Mike Swartz: Hey, good morning, guys. I think, Jack, you made you made the comment in your prepared remarks about having visibility out 24 to 36 months, just given the demand strength and then the lack of inventory at retail. Maybe give us a sense just from an operating or production standpoint, what that level of visibility means, when you're planning production and thinking about throughput over the next couple of years?
Jack Springer: Yes. I wouldn't say that we have visibility. What I was trying to convey, Mike, is that based upon the heavy retail selling, and we thought that by this time, we would at least be starting to put inventory into the channel, we think that we have that ramp up period of 24 to 36 months to get inventory levels back to where they wouldn't be. As far as the build or tying it to the production plans, we've made a ton of investment in our facilities, pursuit being one, we'll see that increase -- we saw the increase. This year, we'll continue to see that over the coming years. What we said is that we will be able to double revenue over about a three-year period. So we're well on our way to that. Maverick, we will have that completed in the fourth quarter of next year, easily barring anything that picks up and so we'll be able to generate that, call it 40% to 50% increase in revenue over the coming period of time. With cobalt, we are already seeing it manifested in our cruisers. We've taken up the cruiser count there. And then as we finished now the small boat plant, then we'll see that start picking up in the second half of this year. And then we continue to make investments in Malibu and there's some tweaks that we can make, as well as additional investment that will help us to take Malibu up if this continues to be the case.
Mike Swartz: And then just maybe for Wayne, just in terms of the, I guess the implied June quarter outlook relative to your full year guidance. Maybe give us a sense of what you're embedding in that outlook in terms of any production issues or issues sourcing product. Do you have a maybe a cushion in there for anything that may go wrong?
Wayne Wilson: Yes. No. Good question. Look, I would say, if you look at our performance, historically, Q3 has been the strongest of all our fiscal quarters. And this year is no different in that way. But as Jack said in his prepared remarks that the residence situation, I mean, there are challenges out there. There's some cushion. It's a relatively fluid situation and so when we were on our last call, we said that there was a decent amount of cushion. And I think we demonstrated that in the performance in the quarter -- this quarter, I think. That's a -- it's a pretty solid guy. There's upside, but there's just a lot of variability in that scheduling right now.
Mike Swartz: Okay, great. Thanks a lot.
Wayne Wilson: Thank you.
Operator: Your next question is from Joe Altobello with Raymond James.
Joe Altobello: Thanks, guys. Good morning.
Jack Springer: Good morning.
Joe Altobello: Just want to shift over to the margin side for a second. You guys have gotten obviously to your target margin of 20% EBITDA margins earlier than you expected, in large part due to the work that you've done at cobalt and Pursuit, for example. But what do you see as the big margin drivers going forward beyond the Pursuit playbook that you guys could be falling now at Maverick for example?
Jack Springer: Beyond Maverick, I would -- I think you hit it, I do want to kind of enunciate that a little bit. We'll continue to see margin uplift in Pursuit. We'll -- we've got plans for bigger boats, and then those bigger boats will have a higher margin per unit. Maverick was same exact recipe in that. We're going to be able to build more boats. We're going to be able to build larger boats. I think one of the things that I'll point out with cobalt is you seen a pretty big increase this quarter on the Cobalt's ASP. And that's driven by a couple of things. A new product. The R6 series that we brought out at Cobalt has been a huge impact in terms of that ASP. But the other is bringing that large plant expansion online and building more boats in those larger boats, that's also influencing that ASP. So then you move over to vertical integration, we always have two to three opportunities on the table. Vertical integration always adds 10s of basis points to our margin lines. And so we'll continue to grow that. And then, as you know, you can imagine, we had a phenomenal quarter, record setting quarter, but when you have certain constraints that you're running into is going to have an impact on your efficiency, we'll continue to drive those efficiencies as all of our plants. And so we -- if I boil it down, we probably have easily six, eight different variables that can continue to drive margin.
Joe Altobello: That's very helpful, Jack. Thank you. Just one quick housekeeping item, if you could break out, maybe the sales and unit contribution from Maverick in the quarter?
Jack Springer: Yes. I don't think we're planning on breaking that out. I mean, I think it's -- you can probably back into it decently based off of the ASP performance, and the implied ASP within the segment. But what I would tell you is that, sequentially, and year-over-year, it's up, we have been able to get more in more units out. If I were to describe the fiscal year there, obviously, all of the sales in Q1 and Q2, were produced out of the new factory. And that meant for a meaningful increase in terms of both actually produced out of our Fort Pierce Factory. You've seen a sequential growth into Q3. In that business, because we've kind of assimilated into that new factory and been able to increase throughput. So I'm not going to break it out specifically, but I think the part of the margin reflection is the strength of that Pursuit business, and Maverick was right on top of our plan.
Joe Altobello: Understood. Okay. Thanks, guys.
Jack Springer: Thank you.
Operator: Your next question is from Jaime Katz with Morningstar.
Jaime Katz: Hi, good morning. Nice quarter. Thanks for taking my questions. I'm curious, do you have any commentary on inflation, it's something that we've been here creeping into a lot of commentaries across different industries. So maybe thinking about how that might constrain gross margin upside. And then, we've also heard that much of the purchase decision at retail is due to availability of products. And I think, historically, this story was that Malibu was faster than the competitive set of production and getting units to the dealer. But I'm wondering if maybe that hiccup this quarter with weather has changed that at least temporarily? Thanks.
Jack Springer: Sure. On the inflation side, our politicians say there's no inflation. But we know that there's inflation. And so, I think that what you've heard from other industries is accurate. The thing I'll point out, we're going to have inflation. And it's going to manifest itself into model year 2022. But I think that the important thing and I believe this is the case for all marine companies, the inflation is in place that's going to be passed along. Now, as it relates to affecting the margin. This is such a white hot environment. And there is such a scarcity of product, that I don't think it's going to cause anybody to bat an eyelash when you consider our demographics. I'm very bullish on the market as a whole. And then it'll continue to be very strong. On the availability of product, that -- when we're talking about the units we're talking about, it's a very -- it's a pretty small amount. So there is no doubt that in our minds, we can continue to add up produce our competition in almost every brand, certainly Malibu in Axis. And the Malibu Axis, Cobalt, Pursuit, we're going to win the day and we'll be able to produce our competition.
Jaime Katz: Okay. And then this might be a little premature to ask. But, as you think about going into like the year-end sales events, given the environments, it doesn't make sense to maybe continue to prune the magnitude of that event in order to true-up the dealer inventory base?
Jack Springer: No. We didn't prune it last year, we doubled it. So what we did, is I think we put more retail customers in play. As long as we can ride. As long as you have a buyer that's going to buy a boat and put their seat in the seat of that boat. You want to capture that. And so I think it becomes incumbent upon us to continue to have the accelerator press to the floor. That's how we win. That's how we've always won. But then also do everything that we can to increase counts and various brands, and start putting inventory into the channel earlier, which we believe that we can do both.
Jaime Katz: Thanks.
Operator: Your next question is from Alex Maroccia with Berenberg.
Alex Maroccia: Good morning, guys. Thanks for taking my questions. You noted that you can't really expand the distribution footprint until FY 2023. However, given the production capabilities that likely exceed some other manufacturers with the supply chain constraints, are you seeing potential dealer wins and share gains coming out of the problems on the back end of it?
Jack Springer: Yes, absolutely. I think, if you had the opportunity to increase your distribution today, that's going to add to the market share. But I think that just given our production capabilities, and our dealers, I don't want to leave them out. We have phenomenal dealers, and then our product, I believe that we will continue to add those 10s of basis points in every brand on market share.
Alex Maroccia: Got it. Okay. And then, it sounds like there was some money left on the table, especially at Malibu and Cobalt. Do you think there was actually a revenue benefit for the two segments, given that some people have to purchase a model year 22 vote at a higher cost? In short, would this just result in better revenues, if you view the businesses over a two year period?
Jack Springer: Yes. I think that's the case. And I believe that's probably the case for all the marine companies. There's only so much we're going to be able to do in 2022. And then it'll roll into 2023. So I do think that there will be enhanced revenue that comes as a result of that.
Alex Maroccia: Great. Thanks Jack.
Operator: Your next question is from Kevin Condon with Baird.
Kevin Condon: Hi, good morning, everyone, and thanks for taking my question. I wanted to ask you a little bit about the retail sold orders that you guys have been talking about. You've had some success selling production slots, rather than I guess a boat that that already exists, and longer term as customers are okay, now waiting for a boat, do you see a potential change in the way consumers purchase boats? Or maybe a greater desire to be able to specify exactly what they want for content? Seems like it's been good for your ASPs in some of your virtual tools and virtual boat shows, that some of that activity could stick around long term post pandemic if you will, but just wanted to get your thoughts on that?
Jack Springer: Yes. I don't think it's going to be material. We may see some count. If you look at it, you talk about stock boats producing a year versus retail sold boats, it may go up two or three or four percentage points. But one of the things that, I've cautioned in every quarter is there will come a point in time in which we're back to normality. Dealers will have channel inventory. There'll be stock on the floor that a person can get right away. Depending on the time of year, you're going have a higher stock than lower. And so, I think there's going to be normality that comes back into play, it may not be until 2023 or 2024, but it will come back. So it may be slightly higher. But there is an element of being able to go into a dealer and buy a boat that day and have it delivered on Saturday. And I don't think that will ever be lost on the end consumer.
Wayne Wilson: And our market already has had a -- probably out-indexed lot of the broader marine market in that custom in our business overall, that has already had a heavy element of that is just enhanced at this point in time.
Kevin Condon: Awesome. Thanks for that.
Jack Springer: Thank you.
Operator: Your next question is from Eric Wold with B. Riley Securities.
Eric Wold: Thanks. Good morning, guys. Just a couple of questions kind of follow up. Going back to the supply chain issues based on the quarter. Was that predominantly just efficiency of the plants and availability of parts? Or was there also a meaningful input cost impact of the suppliers raising prices. At the latter, did you take price to completely offset that even knowing that this is probably a short lived impact and do those price hikes stick if he did?
Jack Springer: No, we don't -- I mean in the middle of a quarter like this we would not raise prices on our dealers or on our customers. There were some minimal price increases. But we just stomached them. The real issue comes back to resin and the Texas plants being shut down. You have a one-time phenomenon that had a short term impact that's continuing to mitigate we think over the next couple of months. And that was really the driver for any lost opportunity.
Eric Wold: Got it. And then last question. Given the success you're seeing with the virtual events and digital marketing with zero impact on demand. Why go back to traditional kind of boat show experience in the past? And I guess, how do you think about, how you'll adapt going forward? And if you -- if there's no impact on volume from a physical to the virtual world, let's say for example, what would be the cost savings or efficiency look at being 100%? virtual?
Jack Springer: Well, I think again, it comes back to the environment that we're in. It's really driving that virtual. We could hold a boat show today. And if there were stocks in the boat shows people would go and they would touch and feel and buy that boat at the boat show. But in the case of today, you have a boat show, and there's no inventory to look at. It comes back again to that normality. I do believe without a doubt that you have this new environment and it's going to be more important in the future to be virtual, and it's going to enhance your ability to sell boat. And I believe that it will enhance the quickness of the sales cycle. But when we get back to a scenario where stock is in the channel, and boat shows are ongoing, that's going to be back to taking precedent.
Eric Wold: Got it. Thanks, Jack.
Operator: There are no further questions at this time. I will now turn the call over to Mr. Jack Springer for closing remarks.
Jack Springer: Thank you very much. In summary of the quarter, we delivered a record setting third quarter and the best quarter in the company's history on almost every financial and operating metric. We posted production levels for Malibu and Pursuit that significantly exceeded historical levels for the quarter. And we posted the fourth best production month ever for Maverick in March. We have we have been and will continue to capitalize on the high retail environment which will further support growth and strong earnings. And we remain optimistic that these tailwinds will remain elevated beyond calendar year 2021. Our operational excellence and vertical integration strategies remained second to none and a competitive differentiator continuing to drive profitability and unlocking maximum value from our product portfolio. Leveraging the agility of our team and the strength of our flexible business model, our strong third quarter performance demonstrated Malibu's resilience, providing us with even more confidence that we will reach our new fiscal year 2021 guidance that we raised this morning. As a clear leader in the industry and with a long track record of exceptional financial performance, we are very well positioned to deliver continued value creation for our shareholders. I would like to thank you for your continued support as we sustain our growth journey. I hope those and those around you remain safe and healthy. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.